Operator: Good evening. My name is Tim and I will be your conference operator today. At this time, I'd like welcome everyone to the LivePerson Fourth Quarter 2017 Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] On the call today are LivePerson's Founder and CEO, Rob LoCascio; and our CFO, Dan Murphy. Mr. Murphy, you may begin your conference.
Daniel Murphy: Thanks very much. Before we begin, please note that we will make forward-looking statements during today's call, which are predictions, projections or other statements about future results. These statements are based on our current expectations and assumptions as of today, and are subject to risks and uncertainties. Actual results may differ materially due to various factors, including those described in today's earnings press release, in the comments made during this conference call, and in the 10-Ks, 10-Qs and other reports we file from time to time with the SEC. We assume no obligation to update any forward-looking statements. Also, during this call we will discuss certain non-GAAP financial measures. A reconciliation of GAAP to non-GAAP financial measures is included in today's earnings press release, which is available in the Investor Relations section of our website. I will now turn the meeting over to Robert LoCascio, CEO and Founder of LivePerson.
Robert LoCascio: Thank you for joining LivePerson's fourth quarter conference call. The fourth quarter marked a spectacular end to the year. LivePerson once again delivered year-over-year revenue growth and exceeded revenue expectations. In fact, the fourth quarter was our strongest ever for new contract signing, with multiple seven and six figure deals, one of which was the largest in our history and will exceed $20 million over its lifetime. The solid progress made in 2017 and early 2018 has set the stage for a strong rebound in our growth rate this year. We're introducing a 2018 revenue guidance range of $237 million to $243 million, which at the midpoint calls for LivePerson's return to double-digit growth. This is a remarkable achievement considering we just completed our transition to LiveEngage in the third quarter of 2017 and only recently returned to focusing on growth. The growth trajectory and the ramping of our field organization towards full productivity is owed in large part to the investments we have made over the past years in customer summits, partnerships, people and a robust product roadmap. Case in point is the customer event we held in October in Edinburgh, Scotland, as you may recall the purpose of this summit is to showcase Sky, a leading European entertainment company, shifted approximately 30% of their call volume on to messaging and doubled agent productivity by leveraging IVR deflection on LiveEngage, IVR being an old piece of technology that forces you to either speak or press one, two or three to route to a live agent. This was the first time in context in our history that a clear alternative to voice is successfully deployed. Each of the 100 plus attendees that participated walked away from the summit with a custom playbook, for they could go back to their contact centers and duplicate these extraordinary results. We saw a great response to this strategy. For example, key stakeholders from a leading international TV and broadband company with more than 20 million subscribers were among the attendees. Following the summit, this existing customer signed a three-year mid seven figure annual contract with LivePerson to power their mobile messaging strategy. This contract more than tripled the value of the previous commitment before messaging. The company will start IVR deflection, aggressively shifting contact center interactions to messaging from voice by deflecting calls at their source to 800 number. Instead of navigating a frustrating IVR and wasting time on hold, consumers will soon be able to message the brand when it's convenient for them. In North America, we signed a seven figure multi-year expansion with one of the world's largest hospitality and entertainment company. This renowned brand is planning on improving their app by adding messaging as a primary means of communication then laying bots on top of messaging. Other wins include a six figure up-sell on mobile messaging with one of the world's top-10 banks and six figure three-year deal with one of the largest online travel agencies. This name-brand intended to swap out a competitive chat solution with LiveEngage. However, they quickly shifted focus to messaging as a key to their future after attending our events in New York and Edinburgh. As our momentum continues in the first quarter, today we are announcing that Sky is a host of our October Edinburgh summit to sign new expanded strategic agreement for two years. This leading European entertainment company will use messaging and AI powered by LiveEngage platform across multiple channels. This would make customer service more convenient and accessible. These impressive wins exemplify how mobile messaging bots and AI, powered by LiveEngage is rapidly expanding LivePerson's addressable market. We can be much more strategic with our customers and go after all the voice interactions in a contact center, not just the ones coming off the web. And consumers are eagerly embracing this shift. In fact, messaging and bots are now approaching 20% of our conversations up from only approximately 5% at the beginning of 2017 and nothing two years ago. When we look at the performance of customers who adopt it, we are seeing strong validation of a large TAM - larger TAM and leading indicators of accelerating growth. Revenue from our enterprise and mid-market customer using messaging and AI in the fourth quarter exceeded our 20% CAGR target. Moreover, their trailing 12 month ARPU was possibly double that of traditional chat customers. These customers are also making longer term commitments, as they are more deeply aligned with our vision. As a result, the average contract term of our top 10 deals in 2017 was nearly two years in length. These amazing proof-points, reinforced by LivePerson, has increased our investment in customer summits, people partnerships and product development. These investments have a direct impact on our ability to spur messaging and AI adoption, which in turn is transforming our financial model and strengthening our long-term outlook. Our ability to continuously attract top talent, who have a shared vision and have run scalable operations at the core of our continued success. Fortunately, our ability to attract the tech industry's top experts and brightest talents has never been stronger. These individuals see how AI and human-powered messaging shape the future of digital and our LivePerson is leading the transformation of care, sales and marketing. With that in mind, we're really excited to announce the hiring of Alex Spinelli as our Global CTO. Alex joins us from Amazon, where he served as global head of the Alexa Operating System group and led the global engineering organization behind one of the world's leading device-based virtual assistants, which powers the Echo home device. Previously, Alex was Director of Product and Technology for Amazon search and held other leading technology roles at McCann Worldwide, Thomson Reuters and AXA. Alex brings an incredible skill-set for supporting large-scale platforms that process billions of transaction. With his long track record of success in machine learning, AI and massively scalable technology, Alex is one of the strongest people in the industry to lead us in our continued innovation of the contact center and messaging between brands and their consumers. Alex will also spearhead the continued globalization of our technology groups, overseeing all current technology centers and their leaders in Israel, Mannheim Germany, New York City, Atlanta and now Mountain View California. In addition to Alex who recently brought onboard an impressive team of expert engineers and architects for messaging AI start-up BotCentral earlier this year. The founder Eswar Priyadarshan has an incredible history of innovation and development. He co-founder, Quattro Wireless, an industry-leading digital marketing company that was acquired by Apple in 2010. Eswar then went onto work at Apple, appointed Steve Jobs as a Senior Director at Apple TV and high ads. Before [Quattro Eitvar co-founded N-Cube] [ph], the leading North America mobile messaging platform for SMS and mobile media. The BotCentral team located in Menlo Park will part of our partner program from past year, our strong cultural fit, they have a great track record of joint implementation with our customers in banking, insurance, travel and other markets. This team has pioneering for us in Bots and AI of extremely valuable as we've worked with customers and partners to deploy the scale of our offerings. In efficient, they have built some powerful agent Advisor AI technology that can significantly boost agent productivity by offering us suggested responses to consumer enquiries. LivePerson's ability to attract top talents applies equally to areas outside of product development. We are pleased to announce that after the thorough review on a wide loss from high quality candidates, we concluded our CFO search with the selection of Chris Greiner. Chris brings a wealth of experience with the strong track record as a public Chief Financial Officer, Chief Operating Officer and Chief Product Officer. He is a seasoned operational executive, and knows, how to leverage platform technology and big data has a history of fueling high margin growth, deep international experience and a strong M&A background. Chris is joining us from Inovalon, a large, public technology company that provides a cloud-based, data-analytics platform to the healthcare industry. During Chris' five year tenure, he was instrumental in developing and metric-based management system evolving the go-to-market strategy and generating significant operating leverage and cash flows. Earlier in his career, Chris held a number of senior roles at IBM, the last of which was CFO and COO of IBM Data Analytics division, a multibillion dollar segment that grew add strong double-digit pace under his leadership. He also served as VP at Computer Sciences Corp, a multibillion dollar IT services company, where Chris was responsible for the financial management of their commercial portfolio and it's emerging business of cloud, security and free data, all in about 60% of the company's revenue. Chris will officially joined LivePerson at middle March, and we look forward to introducing him each of you in the weeks to come. Since the launch of LiveEngage, we have put ourselves right in the center of one of the greatest transformations happening in the digital since I've ever seen. I'm really excited about the possibilities of reaching this great vision when majority of interactions that happened between a brand and their consumers have done over conversational based platform. So no longer simple vision, as we now have the proof points, by powering millions of messaging conversations per month that there is now a viable alternative to the old time wasting analog voice calls. To all of us, this dynamic space is capturing our imagination and creating exciting new future around the ideas and an AI-based user experience could make our everyday life easier and how we connect with our banks, telcos, our cable companies and our favorite retailers. This comes from fact that intuitively, we now assuming the conversations are necessary in many cases to buy something and to get help. LivePerson is focused on becoming the dominant platform for companies to cover these conversations in the most scalable way possible. As we continue to execute on our long-term vision and investing our customers, our platform, people and expertise in delivery, we are making the right strategic positions that I believe one day make LivePerson one of the biggest companies in the technology space. With that, I'll now turn the call over to Dan, who will discuss our fourth quarter results and outlook in more detail. Dan?
Daniel Murphy: Thanks, Rob. I'm more than pleased with LivePerson's execution this past year. And the fourth quarter was a great reflection of all that we have achieved so far. Once again, exceeded revenue expectations and delivered revenue growth both sequentially and year-over-year. We're seeing strong share gains across our target customers and prospects, which was evident in the fourth quarter bringing our largest ever the contract financing. The continued strengthening of our leading indicator is another positive highlight. Trailing 12 month average revenue per enterprise and mid-market customer set a new record of greater than $220,000 in the fourth quarter, up from approximately $200,000 reported in the year ago quarter. Customers on messaging had approximately doubled the ARPU of the base. The number of customers are generating more than $500,000 in annual revenue is at an all-time high. Our dollar retention rate held above 100% in the trailing 12 month ended December 31, 2017, and was at its highest level for the year. The measure takes into account the full impact of up sales, down sales, renewals and cancellations from our existing enterprise and mid-market customer base on LiveEngage. We now have more than 40% of all interactions on mobile, an incredible testament to our strategy to go LiveEngage and the ground up for the mobile consumer. Same customer usage growth year-over-year continues to exceed 10%. The consistent health of these leading indicators is a key factor behind our expectations for revenue growth to accelerate in 2018. And as we've highlighted, we're seeing stronger results from customers to adopt messaging and AI as part of our vision for conversational business, driving additional adoption is the priority in 2018. I will now review our fourth quarter operating results. Revenue of $57.4 million was above our guidance range of $56 million to $57 million reflecting a combination of strengthening in sales force productivity, improving retention and strong fourth quarter seasonality and pay for performance. B2B revenue was $52.9 million, and consumer revenue was $4.5 million. We've signed 101 deals in the fourth quarter 2017 as compared to 93 in the fourth quarter of 2016. New customer deal signed increased from - to 41 from 33 and existing customer deals signed held steady at 60. The B2B revenue breakdown by vertical was consumer retail at 29%, financial services at 19%, telecommunications at 19%, auto at 12%, technology at 7%, and other at 14%. International operations accounted for approximately 37% of total revenue in the fourth quarter of this year, in line with the fourth quarter of 2016. Fourth quarter GAAP net loss per share of $0.06 was ahead of guidance. The net loss benefit from the non-recurring $2.5 million, or $0.04 per share tax benefit stemming from enactment of the Tax Cut and Jobs Act, which reduced the U.S. corporate tax rate to 21% from 34% and led to a revaluation of deferred tax liabilities. Breakeven adjusted net income per share and adjusting EBITDA per share of $0.07 were both in - within our previous leadership guidance ranges. The non-GAAP measure does exclude $2.9 million or $0.05 per share of expenses tied primarily the non-recurring litigation costs, and executive compensation. Please refer to today's press release for a full reconciliation of GAAP to non-GAAP measures. Gross margin increased 90 basis points to 74.3% in the fourth quarter from 73.4% a year-ago. This improvement primarily reflects the reduction in costs to our legacy operations now that we've fully transitioned for LiveEngage. At the end of the fourth quarter, cash on hand, including restricted cash was $57.6 million or approximately $1 per share. Deferred revenue increased 31% in the fourth quarter to $35.6 million from $27.1 million a year ago. LivePerson's generated cash from operations of $6.8 million in the fourth quarter and spend $5.2 million our capital expenditures. Turning our retention to our outlook, we're introducing 2018 revenue guidance of $237 million to $243 million, at the midpoint of our range, LivePerson's return to double-digit revenue growth. We anticipate first quarter revenue of $56.75 million to $57.75 million, which is the midpoint is an increase of approximately 13% year-over-year. As Rob stated earlier, we will follow the same blueprint in 2018 that drove our success in 2017. We will continue to invest in our go-to-market capabilities and a robust conversational commerce product roadmap, which includes the ongoing globalization of our R&D work and developing the best talent pool in the industry. Our goal is relatively straightforward, beyond the early days of greenfield market and we want to continue to differentiate our offering and attract new large enterprise customers to LiveEngage platform. Even with these investments, we plan to increase profitability in 2018 with adjusted EBITDA increasing to $21.5 million, at the midpoint of our guidance range, from $18.4 million in 2017 or 17% year-over-year growth. We expect to exit 2018 with a double-digit EBITDA margin and deliver further leverage in 2019 and beyond. I will now review our detailed financial expectations. For the first quarter of 2018, we expect revenue of $56.75 million to $57.75 million, GAAP net loss per share of $0.13 to $0.11. Adjusted net income per share of $0 to $0.01 and adjusted EBITDA of $3.5 million to $4 million or $0.06 to $0.07 per share. For the full year 2018, our expectations are as follows: revenue of $237 million to $243 million; GAAP net loss per share of $0.35 to $0.29; adjusted net income per share of $0.07 to $0.10; and adjusted EBITDA of $20 million to $23 million or $0.34 to $0.39 per share. Furthermore, as a percent of revenue for the year, we anticipate gross profit to be approximately 76%, sales and marketing 42%, G&A excluding non-recurring litigation of 15%, and R&D to be 21.5%. Note that, due to changes under the Trump administration Tax Cuts and Jobs Act, we are reducing the tax rate applied to our non-GAAP income up to 25% from 35%, as we estimate that it's more closely aligned with the expected long-term tax rate of the company. We expect to pay cash taxes in 2018 of $2 million to $4 million. Please refer to LivePerson's earning release issued earlier today for additional details on full year 2018 assumptions. We have also published a supplemental presentation that reviews key points from the earnings call on the Investor Relations section of the company's website. We entered 2017 with four priorities, return to a focus on selling, build on our lead in conversational commerce, complete the transition to LiveEngage and maintain our profit margins. By all measures LivePerson executed on these goals. As we look at 2018, we expect revenue to accelerate back to the double digits and the adjusted EBITDA margin to exit the year also in double digits. Our solid start for the year coupled with strengthening leading indicators provides encouragement that we will be able to achieve our goal, our yearend objectives. Growth will be fueled by adoption of messaging and AI in existing customers, penetrating prospects through customer events, partnerships and a larger new logo hunter team and extending our product lead through innovation. We've added tremendous fuel to the innovation engine through the globalization of our R&D efforts and our ability to attract many of the best minds in the world of AI, bots, data science and machine learning. I look forward to transition my duties to Chris Greiner and I'm very excited about the skills he brings to the table to support the next phase of LivePerson's journey. I'd like to thank Rob, the Board, the management team and especially all the incredible people at LivePerson for a great seven years. And I look forward as the team continues to innovate and drive the business forward. With that, I open the call to questions. Operator?
Q - Richard Baldry: In the past, Q1s have been seasonally sort of slower on revenue I think, because of usage patterns. It doesn't look like guidance really envisions that now. Can you talk about what's driving that change with seasonality? Is it really just the organic growth acceleration that you're seeing or is there a usage change as well?
Daniel Murphy: It's a good question. Yes, Rich, historically we've had a little bit of down in Q1. But the momentum of the business carrying from Q4 into Q1 has been pretty strong. And as Rob indicated in his remarks and I did, we had one of our largest quarters. We had our largest quarter from a contract signing perspective. So we're excited about 2018 and the 2017 carries into 2018 from a revenue growth perspective.
Richard Baldry: Continuing on that, how much do you think of the guidance is really sort of backlog from the recent wins you've had versus - A, versus other years when you started or - and how much do you really have to sort of win maybe first half of 2018 to meet the second half?
Daniel Murphy: Yeah, it's a good question. So without giving the specifics, we feel pretty good about our growth in 2017 into 2018. We had a - we returned to growth from a revenue perspective earlier than we expected in Q3 and continue that in Q4. And so, we've had great momentum in the back-half of 2017 as we go into 2018. So feeling pretty good about the guidance and what we're entering the year with from a growth perspective.
Richard Baldry: The last thing would be, can you talk a little bit, now that you've got a lot who migrated over, the deployment times that you're seeing as you get in sort of these new customers who are looking in particular at messaging? Do you feel like you've got your hands really around that deployment time now? Do you see you're up and getting faster over the past year, as you've done more and more enterprise sort of transitions? Thanks.
Robert LoCascio: Yeah, I mean, as we've gotten many of these large enterprises under our belt. I mean, there are processes in place now. And we've built actually new groups over the past six to nine months to handle the deployments. The cool thing is there is a lot of unique stuff going on out there. We have some new things coming up with some partners and integrations onto the devices like iOS and Android devices. So there is a lot of new stuff. But I think we've gotten a good cadence down of implementing our customers, so.
Richard Baldry: Great. Thanks.
Robert LoCascio: Thanks, Rich.
Operator: Your next question comes from the line of Mike with Northland Capital. Your line is open.
Mike Latimore: Hey, thanks. Congratulations. Great news there. Just to be clear on the - you said a record times outstanding, is that sort of you are billing of - to kind of record bookings from an ACV basis?
Robert LoCascio: Those are lastly record bookings from what?
Mike Latimore: Annual contract value basis?
Robert LoCascio: Yes, so it was our strongest quarter where we've ever had from a bookings perspective.
Mike Latimore: Okay. Got it. Great. And the Sky deal, did you say that was a first quarter booking?
Robert LoCascio: Yeah, the Sky deal was a - yeah, we talked about that being a Q1 deal, yes.
Daniel Murphy: You are right, it's a Q1 deal.
Mike Latimore: Q1 deal, okay, great, great. And then on the $20 million deal, what was the sales cycle like. I mean, how long were you discussing that? How longer did that take to close?
Robert LoCascio: So it's an existing customer that was on chat and now we're signing a deal to get them on messaging, the sales cycle is about nine months to that particular customer from start to finish.
Mike Latimore: Okay. Great. And then on the new logo sales team, I guess, you're adding to that, can you just quantify that a little bit, how many do you have, what percent growth do you expect to have on new logo sales?
Robert LoCascio: You mean people-wise or…?
Mike Latimore: Yeah, yeah, people, yeah.
Robert LoCascio: So from new logo perspective, yeah, we don't break out the new logo perspective. But in our prepared comments, where we did talk about it, we're making an investment, specifically in North America for hunters. Now, just to give you a little bit of recast of where we were, we took our sales team in 2016 and focused them on migrating customers and that worked into 2017. We had to spend a lot of time with existing customers, selling to those existing customers. Now, as we're coming out of 2017 and we started to make those investments already, as we're going into 2018, we have a group that's specifically focused on bringing in new logos and new customers. We haven't broken out that specific number. But that's again our engine for continuing to fuel for growth, along with the partnerships that we have as well as the customer events. So those are the areas that we're investing in and a globalization of R&D.
Mike Latimore: Good. Thanks a lot. Congratulations.
Daniel Murphy: Thanks a lot.
Robert LoCascio: Thanks.
Operator: Your next question comes from the line of Jeff with Craig-Hallum. Your line is open.
Jeff Van Rhee: Great. Thanks. And I'll echo that, great quarter here guys, looks really strong.
Robert LoCascio: Thanks, Jeff.
Jeff Van Rhee: Number of areas I want to dive into. Maybe, Rob, just with the respect to the deployees, what percent are really applying or using AI and NLU and sort of the automation, whether it's Watson or some other variation versus just taking base messaging and looking to get up and live, and then we'll revisit later?
Robert LoCascio: Almost all deployments have some bot, AI component to them. So when we deploy, we deploy with some sort of bot, because there is an automated service. And then we get more sophisticated as we go forward. But it's almost all of them are deployed with some form of bot and AI.
Jeff Van Rhee: And so, just correlating that, I know that Watson IBM relationship is tied. I mean, broadly speaking, how often are they part of your transactions?
Robert LoCascio: We don't give a percentage out, but for the large enterprise, we see them at a lot of deals, because they have a very scalable solution for that side. So they're kind of our premier partner in that area. And then they're generating pipeline right now with their Watson and GBS sales-force, the global business solutions, GBS. So they're out all around the world also with cognitive care offering. That we drove ourselves, so they're also building pipe for us out there.
Jeff Van Rhee: Yeah. Got it. And then just back to the $20 million transaction, just spend a minute more on that, if you would just the term duration of the contract. But mostly just kind of interested in how repeatable our transaction of that size is? You've said for a while, that there are deals of the scope out there, and they're not one-offs. But maybe spend a minute to elaborating on what the customer is, used case is, and why that size customer and that type used case is something you can win on a serviceable call or a repeatable or a semi-repeatable basis?
Daniel Murphy: Yeah. I mean, they - first, this is going to be a multi-country deployment. So this is a global cable entertainment company, and we're going to deploy from Brazil to Ireland to the UK all around the world. So that's one part of it. The second part is they have such a large volume of calls that it's an impact a very significant amount of that, that's why, like I said from the [aim that] [ph] companies like this spend hundreds of millions of dollars on phone calls. So $20 million opportunity is actually not that big, to even get started, and so that's what we see it. If we look at it very large Telco or bank in the world, they're spending above $1 billion a year of handling phone calls. So that's our opportunity. That's budgeted money, that's fair, that's ready to be shifted to digital and that's our focus right now. So I don't think it's one-off, it's been building as you can see quarter-by-quarter, and we'll continue to grow those types of deals.
Jeff Van Rhee: Okay. And then lastly, just - I mean certainly do you really bulked up fairly dramatically here with respect to the talent additions in across the board. Maybe just spend a second on the CTO, CFO roles and in just sort of the top one or two things that you think are going to be particular focus. The CTO, you said, globalization seems that's been going on. So you're just trying to separate out if there is any core pivot, you chose these individuals for specific portions of their skill sets. What were the focal parts of those skill-sets that you in particularly wanted?
Robert LoCascio: Really, in both of them - well let's start with Alex our global CTO. I mean, Alex is running the - I think, one of the preeminent user experiences around conversational commerce today. He has a lot - he has a vision for it. And so that's exciting, he's one of the very scalable - this is a platform that's very scalable. And he's run other scalable platforms in this past, he's run global operations. And so we're going to be - there is a lot of - I think, a lot of things we're going to do to invest in globalizing not only Israel and beyond right now. So we've got really up our development centers. So I think its scale, vision and operational excellence. We're going to need to - continue our pace of development, and so I think Alex has that. When it comes to Chris, Chris also has been in software his whole life. Just is in one of the premier cloud companies around data and analytics in the healthcare space. But he brings a pretty rigorous operational excellence, he also the COO there. And I mean, you know one of great margins and they went through their own transformation over the last year, he was at IBM for a while. But also very excited about the vision, understand why what we're doing can really impact the world. And so that's I'm looking for is people who would come here and drive this business. So I truly believe this is a multibillion dollar revenue opportunity for us. So I sort of want to get ahead of it, and have people that can drive towards that goal.
Jeff Van Rhee: Okay. Sounds good. Great quarter again, and Dan best wishes.
Daniel Murphy: Thanks. I appreciate it. It's a nice endeavor, so I appreciate it. Thank you very much.
Operator: Your next question comes from the line of Mark with Benchmark. Your line is open.
Mark Schappel: Hi, good evening, and very nice job in the quarter, very strong quarter. So first question here, Rob, I was wondering, if you could just talk a little bit about what we can expect with respect to your upcoming marketing activities in the coming year, particularly the customer summits?
Robert LoCascio: They've been a great success for us. It's a great way to pass knowledge between our customers, so we're going to do one in a couple of weeks now out in Europe with larger partner, which will now shortly. And so we'll continue to do them - I don't know, we were doing around one a quarter, a little over one a quarter. So we can get probably three, four in this year, and then we're doing mini - some mini-summits around that. And so that's one part. We've also started to increase the kind of went back in the market on digital marketing and sort of fueling the mid-market, because we're seeing demand there. So you'll see more advertising on that side. But on the enterprise, we'll do two to four big events this year.
Mark Schappel: It strikes me that your customer summits are - you're very successful. And is there something that's holding you back from maybe ramping is up?
Robert LoCascio: They're big a deal. I mean, they take a lot of work if - over 100 - every time we have one, it's over 100 something customers that show up. They're very, very high end, I mean, the amount of content - the value of the content, the connections, the places we deal them, we always have a - we anchor them with the successful customer, who is basically representing their findings, and they're successful using our platform. Maybe we can do more than that. But there is - I think a certain amount, then we'll do those, and then we anchor around those. There's a bunch of stuff and anchors around that, including all the activities we're doing with the Hunter Group and all that. So it's one part of the multipart marketing strategy, that's working quite well for us.
Mark Schappel: Okay, great. And then, with respect to our AI capabilities, currently you're partnering with various Bot vendors, including IBM. Can you see a time during the next year or two, where you believe you can need to develop your own or acquire your own AI capabilities?
Robert LoCascio: It's understanding. We bought the company BotCentral, which has some core AI technologies itself. We're taking a path of being a platform, and I believe we've got to be sort of neutral in this part of the technology stack. There are things that I don't want to compete in. Like, I don't want to do with Google, and Amazon, and IBM are doing with some natural language processing, and they're doing stuff that's really hundreds of millions of dollars at things that we can use. There are parts of our platform that are very specific customer care and sales, marketing even retail, retail stores that we need to build and own. So those are the parts we're kind of looking at on the AI side. How do we can predict the modeling around next best action around the consumers on the platform, and we want to make an offer to them, let's say in a month from now of something related to our sales activity for our customer. So these are something to look at, but we're trying to build really, really vibrant ecosystem with all these Bot companies. We can also for startups, give them a home, where they can enter the enterprise, because of our - we host our own facilities and the data and all the securities. So these small Bot companies that may have the technology, we can put them on our platform and get them out into the enterprise. We are not going for making a giant marketplace, it's not our - what we're trying to do - we're trying to get quality over quantity, when it comes to this type of technology. But it's going to be a mix of things, but we want to keep our ecosystem vibrant.
Mark Schappel: Great. Thank you. That's all for me. And Dan, wish the best.
Daniel Murphy: Thanks, Mark. I appreciate it.
Operator: Your next question comes from the line of Kevin with B. Riley FBR. Your line is open.
Kevin Liu: Hi, good afternoon. Just looking at your pipeline today, could you talk a little bit about what percentage of your deals actually include mobile messaging as a component versus a year ago. And then, when they do include mobile messaging, what sort of win rates do you get versus kind of a chat only deal?
Robert LoCascio: I don't have a percentage, the exact percentage off the top of my head, but it's a large percentage of deals are now in messaging. The whole company is selling that. There are still chat deals that are happening in the mid-market, primarily not as much as the enterprise. Let's say, the majority of the enterprise deals are messaging the implementation, if not all.
Kevin Liu: Got it. And then, in terms of how competitive the opportunity you secured in the fourth quarter were, could you talk a little bit about whether there any sort of common competitors across some all those deals? And to what extend the customers were focused more or so on the price were just kind of the references you already have in the marketplace?
Robert LoCascio: Yeah, I mean, we're still have something very unique in the marketplace, the voice providers are reacting, as I expected them to, to us taking volume out of their core technology. So now there is starting to ramp up, and say, we've got messaging or take their chat products and try to make the messaging platforms, which is really hard to do that's why we built our own platform, so that's kind of what we're seeing, the fruits in the reference. And right now, we have very large scale of referenceable client. And if you own an enterprise, and you want to bet down on this, this is the real deal. You've got to - you do implementations and trainings, and all the technologies are delivering a platform with partners like IBM and all that. So I think right now, we're just really had of any one out in the market, because we started three years ago building the platform, we are not sitting around, obviously, we have such a full pipeline, right now features that are from our customers, because now we understand the scale of messaging and running Bots and even human agents on it. So we just got to continue accelerating our roadmaps and then continue executing on our plans.
Kevin Liu: Great. And just lastly, you talked about having kind of Bots of the developed options for a lot of these customers that are deploying early. As you look at usage trends, what percentage of interactions today are kind of with virtual agents are Bots, and how do you expect that to change over the coming year?
Robert LoCascio: It's still a small portion of interactions are fully automated. I would say, I'm guessing around 20% or so, or less - much less our using Bots. Human agents are still the dominant way to interact with the consumer, but that shift is changing. There are times, we're also - we do Bot, human interactions together, which is actually we called the tango, which is like the best way to deploy. And so we offer that combination. If you remember we also have in real time, kept something really interesting, we called MCS, which is our sentiment analysis, which in real time monitor as a human and a Bot, and basically looks at the sentiment of the consumer, how they feel about interactions. This has been very, very valuable on creating this tango. So we are not - we don't hold religion on like Bot and automation. We just want to deploy the best consumer experience as possible. Sometimes, that requires automation; sometimes it's good to have a human interaction. The good thing is when we deploy human interaction; it's still about 40% to 50% cheaper than a human interaction with a voice call. So either way, we can win and provide value to our customers, whether Bot or human. I think, we've been very careful about our deployments using AI and Bots, that they aren't those things you see in the world that are just disappointing. And you see a lot of these on Facebook and things like that, and we're very careful in deploying that we wanted to create a really delightful consumer experience.
Kevin Liu: Understood. Thanks for taking my question, and congrats on a good quarter.
Robert LoCascio: Thank you.
Daniel Murphy: Thanks.
Operator: Your next question comes from the line of Peter with Needham & Company. Your line is open.
Peter Levine: Great, guys. You've done a good quarter. First question is around sales productivity. Can you talk about the - I guess, sales productivity from the second half to the first half of 2017, and your expectations for 2018? Just trying to gauge, if you kind of reached an inflection point were kind of sales productivity given where we started - 2017 with reps selling again and new reps that came onboard late 2016, early 2017? I mean, are they now contributing? And is there kind of leverage in the sales and marketing line where you're investing more in these programs, but can you kind of increased quarters, so we kind of at that point with reps?
Robert LoCascio: So, yeah, I mean I think they gave a pretty good - some options of kind of where we were and where we've been, but 2017 is still about finishing off the migration, and yes those reps are becoming productive right now selling, as evidenced by the fourth quarter and having some contract signing perspective, our larger quarter ever. We defeated, the ARPU is going as well, all those give us an indication that things are going in the right way. And from an investment perspective, we talked about the hunters, which again just give us another focused on bringing in new logos into the fold. But as we go into 2018, those reps are getting more productive, and they will continue to get more productive in the 2018 and beyond. We will continue to make investments in the sales organization, so that's why we talked about hiring those specific hunters. We think that's important to get those new logos coming in through the top of the funnel. And as you know in our past, those new logos come in and we continue to expand those new logos from either signing additional lines of business with logo or continuing to go deep. So we got a pretty good strategy as we go into 2018 and beyond to fill up the top of that funnel with those new logos. So we're excited about the opportunities as we go into 2018 and everybody is focused on selling. It's not - the word migration does not exist.
Peter Levine: Good. Good to hear. Last question is - you did a great job on your technology partnerships. But where do we stand today in terms of bringing on more of those traditional sales partnerships or if you can talk about strategy you have in play to kind of get some of those guys on board for the year?
Robert LoCascio: I think you'll see for this year is a focus on some of the large, call, systems integrators, but in different languages - I'd say, the technology integrators that are out there, the big ones who are all interested in how do you do the things we're doing with Sky and all the other companies. So I think they'll open up a big challenge for us in selling. And that's kind of a focus, because they're doing big strategic work with these enterprises and that's where we're putting a lot of our focus down. There is also an interesting part on the call-center side. If we can get to the vision of transforming the call center, not just with our customers, I'm talking about the third-party call-centers. We have partnerships with these guys today. But if we can transform them to become more bot-centric and managing bots and crafting bots, I think there is an opportunity to even impact that industry, which had a lot of pressure on it for many years. So I think these are the two areas that we are very interested in and that we feel a lot of interest in us and that's where we'll sort of put our focus this year.
Peter Levine: Good. Thanks, and congrats on a great quarter. And, Dan, best of luck.
Daniel Murphy: Thank you very much. Thank you.
Operator: Your next question comes from the line of Glenn, with Ladenburg Thalmann. Your line is open.
Glenn Mattson: Hi, yeah, thanks for taking the question. Most things have been touched on, right. But I'm curious, you guys have - previous questions kind of talked a little bit about this, but one thing that stood out in Chris' hiring, in his bio, was just a strong M&A background. Can you give us a sense of how active you guys are as far as looking for acquisitions and would they be kind of tuck-in technology type things or kind of expanding, trying to expand out the - I don't know - perhaps new verticals or something like that?
Robert LoCascio: We traditionally bought companies in the technology side like small tuck-ins to accelerate the platform. Right now, we're just kind of looking out there, looking especially in the AI space and bot space. And so, we are curious about that area. Right now, we don't have any imminent plans to do anything. We're very focused on organic growth and fueling organic growth. We built our own platform, so we're just focused on execution. I don't really want to disturb the good work we're doing right now and have to do some giant integration or something. So it's not really in our plans right now.
Glenn Mattson: Okay, great. Thanks. That's good color.
Robert LoCascio: Thanks.
Operator: [Operator Instructions] Your next question comes from the line of Koji for Oppenheimer. Your line is open.
Koji Ikeda: Oh, great. Thanks for taking my questions and congrats on the quarter. Just got a question on bot technology here. It really seems like bots are becoming very common place here in the U.S. I'm beginning to see them all the time here. And, I guess, just thinking about internationally, with international being almost 40% of the business, I was wondering if you could give us some big picture commentary on bot technology acceptance internationally? Is it similar to what we see here in the U.S. or are there any major differences to point out?
Robert LoCascio: Yeah, I mean, it has - there is just much demand for bots and AI outside the U.S. I did a trip at the end of the year around Asia to our offices over there and met with many large telcos and banks between Japan and Australia. And, yeah, it's not a U.S. centric thing. It's basically a global concept. And I think what's interesting about it is not the concept of a bot, because bot really means automation. It's more of intuitively we feel like through a conversation with something we could get a business transaction done as a consumer. And so, why it's so intriguing to everyone, it's not the technology. It's really the - it's just resonating inside of people that automation and build a website and they'll come and one click, it's not delivering on what it was supposed to do. But the concept that as a human could ever - a conversation with someone, ask a series of questions and get those questions answered through an automated service seems to be a user experience, but all of us think it's natural, and I - so that's just the human experience. So globally no matter whether you're in Japan or Singapore or China, the United States or wherever, we have a sense that conversing with a user experience will allow us to get a transaction done. And this is why it's a global phenomenon. Now, implementing bots is the thing that - it's a work in progress. We actually created a design group now of the company that works with our large customers and does like multi-day workshops on designing conversational flows. And we then have a - we hire guys who did a Barbie doll, there is a talking Barbie doll couple of years ago. Now, he's working here and he's helping customers build those conversational flows. So it's exciting, but I think once again it's resonating with something as a human, as we need to converse to get a business transaction done and that's why it's a universal thing.
Koji Ikeda: Great. Thanks for that color, Dan. Or - I just got - Dan, I got one question for you. ASC 606 and I apologize if there was any commentary on that before, but maybe some high-level commentary on any potential headwinds or tailwinds on how that is affecting the 2018 profitability guidance.
Daniel Murphy: So, Koji, that was Rob LoCascio response so…
Koji Ikeda: Oh, sorry about that. Sorry, Rob. Sorry, Rob.
Robert LoCascio: But I - I give that over to Dan. It's his last call on here [indiscernible].
Koji Ikeda: Sorry, Rob.
Daniel Murphy: So we're still going through the process of ASC 606. But we've done a lot of the initial work over the last couple of quarters. And we don't expect any headwinds or tailwinds that matter for ASC 606.
Koji Ikeda: Okay, great. Thanks, Dan, for that update and congrats again on the quarter and best of luck, Dan.
Daniel Murphy: Thanks, Koji. Appreciate it.
Operator: There are no further questions at this time. I'll turn the call back over to the presenters.
Robert LoCascio: So before we go - and this is Robert this time - I just want to thank Dan for the past six years for all the work that he's done. Obviously, he joined as we started the pivot. And as a public company pivoting is never an easy thing. And there were many calls where we're sitting here and looking at each other and just wanting to get through the call and get to the next day. But I want to thank him for all the service that he did for the company over the past six years and I want to wish him luck in all his new ventures. And as a company, I want to thank him for his service and so thank you, Dan.
Daniel Murphy: Thanks, Rob. That's very nice of you. Thanks.
Robert LoCascio: And for that, we'll see you on the Q1 call.
Daniel Murphy: Thank you.
Operator: This concludes today's conference call. You may now disconnect.